Operator: Good day, and thank you for standing by. Welcome to the MultiPlan Corporation First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Shawna Gasik, AVP of Investor Relations. Thank you. Please go ahead.
Shawna Gasik: Thank you, Casey. Good morning, and welcome to MultiPlan’s first quarter 2021 earnings call. Joining me today is Mark Tabak, Chairman and Chief Executive Officer; Dale White, President of Payor Markets; and David Redmond, Chief Financial Officer. This call is being webcast and can be accessed through the Investor Relations section of our website at www.multiplan.com. During our call, we will refer to the supplemental slide deck that is available on the Investor Relations portion of our website, along with the first quarter 2021 earnings press release issued earlier this morning. We will refer to the supplemental slide deck during our discussion this morning. Before we begin, I would like to remind you that our remarks and responses to questions may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with our business which are discussed in the risk factors included in our annual report on Form 10-K for the fiscal year-ended December 31, 2020, and other documents filed or to be filed with the SEC. Any such forward-looking statements represent management’s expectations, beliefs and forecasts based on assumptions and information available as of the date of this call. While we may elect to update such forward-looking statements at some point in the future, please note that we assume no obligation to do so. Certain financial measures we will discuss on this call are non-GAAP financial measures. We believe that providing these measures help investors gain a more helpful and complete understanding of our financial results and is consistent with how management views our financial results. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measure, to the extent available without unreasonable effort, is available in the earnings press release and in the slides included in the Investor Relations portion of our Company’s website. And now, I would like to turn our call over to our Chief Executive Officer, Mark Tabak. Mark?
Mark Tabak: Thank you, Shawna. Welcome, everyone. Let me join in welcoming you to our first quarter 2021 earnings call. Amid the ongoing public health crisis, we hope everyone is staying healthy and safe. I would like to thank our stockholders for their continued support. MultiPlan has a long history of delivering returns for investors as a private company, and I’m pleased to say that in our first few quarters as a public company, we’ve continued to deliver solid operating results. As this quarter’s results attest, even in the face of an accelerated pressure related to the COVID-19 pandemic, our business continues to perform. This is a testament to MultiPlan’s many competitive advantages. As detailed on page 3 of our supplemental slide deck, we start with our unique operating assets and a relentless focus on operational excellence that allows us to configure and reconfigure our resources to create lasting value for our customers, their members and ourselves. These assets underpin our leading position with our payer customers. Many of them view us as a strategic partner. We are operationally embedded in our customers’ workflow and IT processes, driving very limited customer turnover, long tenure relationships and ongoing opportunities to increase the level and scope of services we provide to them. In turn, the strength of these relationships underpin our durable financial model, which features persistent and recurring revenues, with high revenue retention rates, high EBITDA margins and attractive conversion of EBITDA to free cash flow. And finally, our financial strength supports the strategic investments we have made to grow our business and drive further value for our customers, establishing a virtuous cycle. Both revenue and EBITDA for the first quarter were in line with Q4 2020 and with the expectations we communicated earlier this year. As shown on page 4 of our supplemental slide deck, in the first quarter, total revenues were $254.9 million, representing an increase of 1.1% over the prior year first quarter and a decrease of 0.2% from Q4 2020. These revenues were achieved despite modest typical Q1 seasonal softness and the effects on our claim receipts related to COVID-19 case trends, which surged at the end of the fourth quarter of 2020 and remained elevated through the first quarter of 2021. Referring to page 5 of our supplemental slide deck. Adjusted EBITDA for the first quarter was $191.1 million, a decrease of 2.5% from Q1 of 2020, and a decrease of 2% from Q4 of 2020. EBITDA margin in Q1 2021 was 75%, down from Q4 of 2020, which was 76.4%. Approximately 1% of the decline was attributable to the lower incremental margins of our newly acquired businesses, HST and Discovery. The remainder was primarily due to additional public company costs and some selected investments in sales and information technology. Our business continues to exhibit strong cash flow conversion, with Q1 2021 cash flow from operations of $170.9 million, increase of 16% from Q1 2020 cash flow from operations of $147.4 million and the strongest operating cash flow quarter for MultiPlan ever. Our confidence in the business remains strong. Even through the pandemic, we enhanced our services and continued to provide exceptional customer service, which has led to strong customer retention. While we expect COVID-19 to continue to affect our business through much of this year and the impact on our revenues remains difficult to precisely forecast, we are optimistic that the worst of the pandemic is behind us. We are hopeful the adverse effect of COVID will recede somewhat as the year progresses. We believe we have sufficient visibility to provide an outlook for the full year 2021, which was included in this morning’s press release, which Dave will discuss momentarily. MultiPlan’s unique operating assets, which include 1.2 million provider network, our proprietary data and algorithms, a team of more than 350 negotiators, our capacity for high throughput claims processing and our enterprise level platform equip us with the unmatched scale and scope of services and position us to develop and implement customized solutions that help our customers identify and address opportunities to make health care more affordable, efficient and fair. We continue to be excited about our plans for 2021 and beyond. We are strategically engaged with our customers in planning and implementing service offerings that generate meaningful reductions in the cost of health care, help our customers sustain their competitive positioning and improve their performance and support our growth as a company. We are investing in our business to drive growth. This includes our investments in machine learning and artificial intelligence to identify more clinical aberrations to leverage data to generate incremental cost savings for health care payers as well as the recent acquisitions of HST and Discovery. The integration of HST into our analytics-based solution offering is well underway, and our cross-selling activities are already beginning to yield positive results. Our acquisition of Discovery closed at the end of February. We are excited about the complementary capabilities that transaction adds through our payment and our revenue integrity service offerings. We are working hard to leverage Discovery’s deep expertise and relationships to expand our footprint in the government payer markets as well as in addressing payment integrity issues within the payers and our clients’ in-network claims. In summary, we’re off to an excellent start in 2021. We are encouraged by the underlying trajectory of our business. We believe we are poised to resume our growth as the ongoing COVID pandemic abates and business conditions return to normal. Finally, I’d like to express my appreciation for those with whom our continued success depends. That includes our customers for their enduring trust and partnership, and our more than 2,200 outstanding MultiPlan colleagues whose tireless efforts make it possible to create the value that keeps the Company growing and our customers loyal. With that, I’d like to turn the call over to Dale White, President of Payor Markets, who will provide a business update. Dale?
Dale White: Thank you, Mark, and good morning, everyone. I echo Mark’s enthusiasm about our Q1 2021 results and optimism for the year ahead as COVID starts to abate. Despite the winter surge in COVID cases and the downward pressure on elective procedures and non-emergency treatments, and despite the COVID-driven change in our claim mix to lower dollar claims, we grew revenues by 1.1% compared to the same quarter last year, our last pre-COVID quarter. We have continued to grow our claims charges volume despite pandemic conditions. As shown on page 8 of the supplemental slide deck, in Q1 2021, we processed about $29 billion in claim charges, up about 11% over Q1 2020, which had no COVID impact. At just under $5 billion in potential savings identified for clients in Q1 2021, they were nearly identical to the prior year Q1, despite a 15.5% drop in the average charge per commercial health claim. These results were possible because we continued to adapt our services to ensure we deliver value to our customers. The lower average charge per claim has been driven by the dynamics of COVID, some of which are illustrated on page 9 of our supplemental slide deck. For example, on our last earnings call, I cited a tenfold increase in testing claims between mid-2020 and year-end. Q1 2021 saw another 95% increase in COVID testing claims over Q4. COVID treatment claims were up 65% in Q1 2021 over Q4 2020. Telehealth claims remained elevated and were up 11% over the prior quarter. The average COVID test claim runs around $190. The average COVID treatment claim runs less than $700, and the average telehealth claim averages about $375. We also saw an influx of vaccine claims in Q1 growing to over 100,000 in Q1. Recall that our receipt of claims typically lags the date of medical services by approximately 6 to 8 weeks. We anticipate that our mix of vaccine-related claims will grow dramatically in the coming months, and these run only about $45 per claim. Even with vaccine volume pushing average charges per claim down, we expect some abatement in the COVID headwinds as the year progresses as rising vaccination rates help normalize capacity in the health care system, demand for elective procedures and the utilization of non-emergent services. Apart from COVID, the health care industry is facing other headwinds, though many of these provide opportunities for MultiPlan. These include market consolidation, CMS policy developments that impact Medicare Advantage and pressure on payers to meet interoperability and transparency requirements. Each of these present opportunities -- each of these present opportunities for MultiPlan to capitalize on our solutions breadth and to execute on the Extend component of our three-part growth strategy, and increase our penetration in adjacent market segments. Surprise bill legislation also presents opportunities to strategically partner with our customers. While regulators are continuing to work through the specifics, the legislation introduces significant complexity, and we continue to be in dialogue with our customers to explore how they will achieve compliance by leveraging MultiPlan’s strength, deep analytics, flexible service components and rapid customization. Our ability to enable customers to quickly comply with these types of regulatory action helps further the depth of our relationship and embed MultiPlan technology in customer workflows. We continue to believe that this legislation is one likely to have a material impact on MultiPlan’s overall business. Our growth strategy is in its full swing. Since going public last year, we have added to our product suite, expanded our sales resources, stepped up our development roadmap and invested in technologies that drive value for our customers. Our integrations of HST and Discovery are ahead of expectation, and we are seeing acceleration of growth at both companies as they leverage MultiPlan’s client relationships and distribution. We have over 100 sales, account management and marketing professionals focused on growth, including over 25 with specific responsibility for identifying and closing new business and supported by more than 40 relationship managers. This includes health care veteran Andrew Cone, hired this year as our Chief Revenue Officer. And we’ve begun partnerships in artificial intelligence and machine learning that will unlock material savings for our customers in the years to come. I’m happy with the progress we’ve made in our first two quarters as a public company, but even more excited about the many growth opportunities we are pursuing. We have highlighted some of these opportunities on page 10 of the supplemental slide deck. For example, under the enhancement component of our strategy, we have 6 machine learning initiatives underway, including 2 with a data analytics partner and another 10 that we are concepting. These initiatives span across MultiPlan solution categories and deliver both, increased savings and operational efficiencies. One of the models deployed mid last year has already delivered $1.5 million in net new customer value through February. Under the Enhance strategy, we’ve also completed or deploying over 25 service enhancements to increase identified savings or service level agreements, with another 20 in the concept stages. At the center of the strategy component, to extend our value in underserved markets, are the acquisitions of HST and Discovery. HST has strengthened our analytics-based services category with value-driving health plan services that deliver significant new value for third-party administrators and health plans and the small to mid-sized group market through brokers and consultants. Discovery has added a number of new services that expanded our payment integrity category, now named Payment and Revenue Integrity Services. With these new services come significant new relationships and services targeting government sectors, like Medicare Advantage and Medicaid, as well as services that deliver value for a payor’s in-network claims. Integration and go-to-market strategies for both acquisitions are well underway. In fact, we already have closed on 16 new employer groups with over 13,000 covered lives, adding value-driven health plan services, expected to generate over $2 million in new revenues annually. We were also awarded a coordination of benefits and subrogation business for a Blues plan we share with Discovery, with annual revenues over $3.5 million. And we have a pipeline of several deals in late stages for a variety of payment and revenue integrity services. Also under our Extend strategy, we are in the early stages of concepting a number of potential new services that bundle our core capabilities in new and interesting ways and capitalize on some of the headwinds-turn-tailwinds that I mentioned earlier. It’s a little early to talk about these, but suffice to say they leverage our data and analytic assets as well as the breadth of our existing services. We’ve also made solid progress with the Expand component of our strategy, which is more transformational in nature. We have been working to build a pipeline of potential partnerships and/or acquisitions in areas that evolve MultiPlan into a platform company, serving not just payers, but also the providers they work with and even the consumers they serve. We are exploring ideas with several such companies. And finally, we are laser-focused on driving growth in our core business. For example, among our larger customers, we have over 20 revenue-generating initiatives underway, and we’ve converted 10 health plan customers into three-year deals for bundled services. Even more exciting, we were recently awarded a prepayment integrity services contract for a large regional plan’s in-network and Medicare Advantage claims which we will deploy beginning later this year. When fully implemented, we expect this business to generate an additional $10 million to $15 million in revenues annually. We’re also a finalist for a national network access by a large plan. In summary, I’m very pleased with the organic and inorganic steps we have taken to continue evolving to meet the changing needs of the marketplace and our customers. MultiPlan has a long history of leveraging both small acquisitions and service quality enhancements to transform our business and the value it creates. In 2009, many of you remember that MultiPlan was largely a network-based company with over 90% of our revenues derived from network-based services. Today, approximately 70% of our revenues come from our analytics-based and payment and revenue integrity services which we have developed over the past eight years. Our customers both appreciate and depend on this track record of providing innovative new services. The pandemic has changed our claims mix for now, but the activity level across all of our target markets makes it clear, it hasn’t altered our ability to stay focused and to deliver consistent and growing value to our customers. With that, I’ll turn it over to Dave, who will talk about our financials. Dave?
David Redmond: Thank you, Dale, and good morning, everyone. I’m going to spend the majority of my time this morning discussing our guidance for 2021. But first, let me add a few comments about Q1 2021. As Mark said earlier, first quarter revenues were up 1.1% over prior year quarter, down 0.2% over Q4 2020 and in line with expectations we communicated earlier this year. Excluding the contribution from HST and Discovery, revenues were down approximately $5 million sequentially, which we believe were driven entirely by the effects of COVID and typical Q4 to Q1 seasonality in our business, as we previously communicated. As we have communicated also, our revenues lag the date medical services are provided by about 6 to 8 weeks on average. And as a result, elevated COVID case levels during November, December and January continued to affect our claim mix and our revenues throughout the first quarter. We estimate the COVID-related revenue impact in Q1 2021 was approximately $18 million to $22 million, up from our estimated impact of $12 million to $16 million that we communicated relative to Q4 2020. We estimate the COVID-related adjusted EBITDA impact of that $18 million to $22 million in Q1 2021 was approximately $16 million to $18 million. Of the $18 million to $22 million in Q1 of COVID impact, we estimate $5 million to $6 million of the impact was related to our network-based revenues. Among other dynamics, we believe this reflects a combination of COVID dynamics on our workers’ comp and auto business, which is driven by lower volumes from employees -- employers not at full capacity and less auto travel. Our PEPM revenue is also driven by unemployment trends at small to mid-sized companies and on our primary network fee-for-service business, especially related to reduced travel outside the members network coverage. We estimate approximately $9 million to $10 million of the COVID impact was related to our analytics service line revenues, predominantly driven by mix and volume changes in the health care delivery, as Dale has previously discussed. We estimate $4 million to $5 million of the impact is related to our payment and revenue integrity service lines driven by a lower mix in volumes of surgical emergency departments and anesthesia clinics. The total estimated impact of $18 million to $22 million for Q1 2021 primarily reflects trends we are seeing in our claims receipt and does not include the indirect cost of COVID on business conditions, such as delayed implementations or a longer sales cycle due to limited in-person interactions. First quarter adjusted EBITDA expenses were $63.8 million, in line with the expectations we communicated earlier this year and included operating expenses for a full quarter of HST and a partial quarter of Discovery. The increase of $8 million over Q1 2021 was predominantly $4 million of additional public company costs and $4 million of growth initiatives, including costs associated with HST and discovery acquisitions. The increase of $4 million over Q4 expenses primarily reflects $3 million related to growth initiatives, including Discovery and HST, and an incremental $1 million of public company costs in Q1 2021 over Q4 2020. Our annual run rate of public company cost is approximately $20 million. The combination of stable revenues and the aforementioned expense items resulted in adjusted EBITDA of $191.1 million for the first quarter compared to $195.9 million in Q1 2020, our last pre-COVID quarter, and $195 million in Q4 2020. EBITDA margin was 75% in the quarter versus 77.7% in the prior year quarter and 76.4% in Q4 2020, again, largely reflecting increases in public company costs and lower incremental margins from our acquired businesses as Discovery and HST have been investing heavily to drive product development growth as well as the fact that they are generally a lower-margin business. Moving on to our 2021 guidance. As noted in our press release this morning and on page 11 of the supplemental slide deck, for full year 2021, we expect revenues of approximately $1.04 billion to $1.10 billion. This includes revenues in 2021 of approximately $50 million to $55 million from our recent acquisitions of Discovery and HST. Our revenue guidance assumes a smaller but still significant impact from COVID in 2021 than we had in 2020. If you remember, the impact in 2020 was re-estimated between $100 million to $120 million. We have methodically worked through a variety of assumptions and built those into the range of guidance I mentioned a few moments ago. But obviously, given the nature of MultiPlan’s business, forecasting the COVID impact is at best in estimation. We are anticipating the COVID impact in Q2 will be substantially similar to that of Q1 2021 of $18 million to $22 million, given the lag effect of Q1 COVID trends on our revenues. When you look out to Q3 and Q4 of 2021, we are hopeful that some of the effects of COVID on our results will subside. But, it’s quite likely the impact will still be meaningful. Our annual guidance reflects estimated quarterly COVID-related revenue impact of $18 million to $22 million per quarter or $72 million to $88 million annually and an estimated COVID-related adjusted EBITDA impact of between $16 million to $20 million per quarter or $64 million to $80 million annually, which is consistent with our estimated COVID impact in Q1 2021 that I previously mentioned. Moving to adjusted EBITDA. On page 11 of the supplemental deck and in the press release this morning, we noted we expect adjusted EBITDA for 2021 of approximately $750 million to $790 million. Our adjusted EBITDA expectations incorporate approximately $10 million to $12 million of additional investment in the business for 2021, as previously communicated, primarily around IT spend, including machine learning and artificial intelligence, expansion of our sales force as well as other minor initiatives. We expect these investments to evolve our solutions portfolio and deliver incremental savings and functionality to our customers, and we believe they will yield meaningful returns for MultiPlan over time but will not necessarily generate material revenues during 2021. The combination of revenue and adjusted EBITDA guidance imply a 2021 adjusted EBITDA margin in the low-70 range, a few percentage points lower than what it has been historically, reflecting the increased public company cost, the aforementioned investments in the business and lower incremental margins from the acquired businesses of Discovery and HST. As the pace of investing moderates and as the effects of COVID recede and revenues grow, and we fully integrate HST and Discovery, we anticipate exiting the year on a higher adjusted EBITDA margin trajectory than we are expecting over the next couple of quarters. For 2021, we expect operating cash flow of approximately $380 million to $420 million. This, of course, is a result derived from all other assumptions and estimates just discussed. As a reminder, due to interest and tax payment timing, Q1 and Q3 tend to be our higher cash flow quarters. As previously communicated, we expect depreciation of approximately $60 million to $65 million for 2021. We expect amortization of intangibles approximately $340 million to $345 million for 2021. We expect interest expense of approximately $250 million to $260 million in 2021. And we expect our cash interest costs in ‘21 to be approximately $70 million, less than it was in 2020. We expect stock-based compensation of $10 million to $20 million for 2021. As previously communicated, we expect an effective tax rate for 2021 of 25% to 28%. And we expect CapEx for 2021 of roughly $75 million to $80 million. As outlined on page 12 of the supplemental slide deck and in the press release this morning, for Q2 2021, we anticipate revenue of $260 million to $275 million and adjusted EBITDA of $185 million to $200 million. This includes a COVID-related revenue impact of approximately $20 million, as previously discussed, and a COVID-related adjusted EBITDA impact of approximately $18 million, similar to what we had in Q1 2021. With that, I will turn it back to Mark for his -- for closing comments. Mark?
Mark Tabak: Thanks, Dave. Thanks, Dale. Before we go to Q&A, I’d like to reinforce that we’re very excited about the future. We are making solid progress against our growth strategy, the integrations of our recent acquisitions are on pace and poised to bear fruit, and we continue to execute by focusing on operational excellence. I couldn’t be prouder about how the Company has managed through COVID so far, and while the pandemic isn’t quite behind us yet, we are well positioned to drive growth and success as we move through the year. Okay, operator, let’s open up the forum for questions.
Operator: [Operator Instructions] And your first question here comes from the line of Josh Raskin from Nephron Research. Please go ahead. Your line is now open.
Josh Raskin: Hi. Thanks. Good morning, everyone. First question, just on the factors that are leading to the ramp in revenues for the remaining three quarters, sort of the annualized 1Q, it implies some growth in the guidance for the rest of the year. So, the first question would be sort of what’s the ramp there? It sounds like the COVID headwind is kind of the same throughout it. And then, Part B to that would be not seeing a similar ramp in EBITDA. So, should we just assume that’s a ramp-up in investments against the new revenue, or is the new revenue coming in at low margin? Just sort of help us with that dynamic as well.
David Redmond: Sure. As you see the ramp -- go ahead, Mark, first.
Mark Tabak: Why don’t you speak to the initiatives in terms of selling more business to existing customers and also the addition of new customers? And then, Dave can talk about the investments in the company to fuel additional growth.
Dale White: Sure. Absolutely, Mark. Thanks, Josh. Look, I think you know MultiPlan well enough that throughout the year, we derive additional revenue through -- through three primary sources. One is, the continued work with our existing customers on initiatives throughout the year that helped drive additional savings and value for our customers and ultimately revenue for the company. Two, it’s through the acquisition of new logos and new business, so customers that we don’t have in our suite of customers today, and that become new customers of the company. And thirdly, it’s -- I’ll say it’s more inwardly looking and it’s working on our -- it’s making and enhancing our current suite of services. And I think as you’ve heard in my comments, we have a number of initiatives underway and a number of service initiatives underway that either through machine learning or efforts that we have internally to better -- I’ll call operational initiatives that help drive monetization of claims and improve our savings rates. All of them help to fuel our growth. Dave?
David Redmond: Sure. Hey Josh. Thank you for the questions. I think two things impact the -- first of all, on the growth rate in revenue, I think independent of HST and DHP, which we estimate to be $50 million to $55 million of revenues next year, we basically have a quarter-over-quarter growth rate of 1.5% to 2%, which annualizes into the 5% to 6% single-digit growth that we have historically had, independent of COVID. We believe that the initiatives that Dale and Mark have talked about will drive those numbers higher hopefully in subsequent years. The impact on EBITDA is primarily driven by the two acquisitions. The two acquisitions on a combined basis have an EBITDA run rate in 2021 of something in the high-20s. And DHP, which is the biggest factor, which only was included for one month in Q1, and we’ll have obviously three months in each of the other quarters, really has an EBITDA margin at the time we acquired them of something in the high teens to roughly 20%. So, that does drive a little bit of the reduction in EBITDA margins, so that as you look at where we are in the out quarters, that margin suffers a little bit. And as we said, we are investing probably $10 million to $12 million in incremental investments that we may not see a lot of revenue this year. About $5 million to $6 million of that is in IT, including artificial intelligence and machine learning, which we believe will continue to provide additional services to our customers and revenues as we develop that data. About $3 million to $4 million in our sales force, which Dale has talked about, and a few other expenses. And Josh, I think when we talk later today, we’ll walk through that in a little bit more granularity with you.
Josh Raskin: That’s perfect. And just -- go ahead, Mark.
Mark Tabak: We factored in $18 million to $22 million of COVID impact quarter-over-quarter and EBITDA of $16 million to $18 million, as COVID subsides in the latter half of the year, that will drive additional revenues and additional EBITDA as well, as you know.
Josh Raskin: Yes. And then, just a second question. If you sort of think about same store results, and I know that’s tough to do, but sort of thinking about the same book of business with the same customer, are you seeing changes in sort of out-of-network usage or percentage of claims that go out of network relative to maybe pre-COVID 2019? And are you seeing better penetration of analytic services into those accounts?
Mark Tabak: Yes. Dale, do you want to comment on the customer utilization of our services and trends, and I’ll punctuate that.
Dale White: Yes. I think it’s -- I think, Josh, you asked about the percentage of in-network utilization. I think, as I alluded to earlier, we continue to see an increase in the amount of dollars that -- through our customers. You’re right, it’s hard to predict. But, in Q1 2021, we processed about $29 billion in claim charges, which were up almost 11% over Q1 2020, which was the last pre-COVID quarter. So, we continue to deepen our relationships with our customers. We continue to look at ways to expand our relationship with our existing customers through the services, through networks, through analytics and through payment and revenue integrity. And now, with the addition of HST and Discovery, we have additional tools in our service portfolio to reach out to those same customers, and potentially new customers, and we’re delighted with some of the examples I gave you of new sales, where we’re able to -- we signed a large regional health plan to deploy later this year for prepayment payment integrity. And through Discovery, we were able to -- Discovery service is another example, we were able to -- we signed a contract for coordination of benefits and subrogation services that’s over $3 million to $4 million. So, I think we’re pleased with what we’re seeing across our customer base.
Mark Tabak: Our analytical business isn’t -- large, its footprint significantly, because not only is it now payment integrity, it’s revenue integrity and also subrogation and coordination benefits. So, we can bring a more comprehensive suite of analytical services to our payor customers and increase reliance on those capabilities, the foundation of which is the database of charging claims data that we’ve acquired over these many decades.
Dale White: Josh, with the addition of Discovery, Mark’s right, we’ve widened our payment integrity footprint. And historically, MultiPlan and -- was a prepayment-focused company. With the addition of Discovery services, we now extend our reach into the post-payment world and broaden our suite to include things like coordination of benefits, subrogation, Medicare premium restoration, ESRD premium restoration and other services, which enrich our payment integrity and revenue integrity offering.
Operator: Your next question comes from the line of Daniel Grosslight from Citi. Please go ahead. Your line is now open.
Daniel Grosslight: I wanted to go back to the COVID impact this year of around $80 million at the midpoint. You mentioned 2Q will be similar to 1Q, which makes sense given the lag, but a little surprised that you expect the same impact in the back half of the year. Can you put a little finer point on the cadence of the impact in the back half of this year and what assumptions you’re making around testing, telehealth and higher acuity visits as we get into June and beyond? And if you could provide a breakdown by segment in the back half, that would be very helpful. Thanks.
Mark Tabak: Dave, can you walk through the analytics?
David Redmond: Sure. As we said, Daniel, we think Q2, based on what we’ve seen so far and obviously we’re -- our way through Q2 now will be pretty similar to Q1. We don’t have enough visibility yet that we’re prepared to move our guidance numbers on Q3 and Q4. We’re hopeful and optimistic that COVID will decline in those quarters. But we wanted to give you what we’ve built into our guidance in Q3 and Q4 so that as different people have different opinions of what COVID should or should not be, we can adjust that accordingly. But, at this point in time and as a relatively new company, we want to be a little bit cautious on our guidance and make sure that we fully understand what the impact will be. The last thing we want to do is overpromise and under-deliver, and that basically drove us to the decision of using a relatively flat COVID impact across the quarters. But, what we wanted to do is totally disclose that to you, so everybody understood that -- where that’s coming from. That $20 million is basically, as I said, probably $5 million to $6 million of that is in our network business. A lot of that is workers’ comp, PEPM and our fee-for-service, what we call our travel network. Obviously, people travel less out of their primary regional area. That pretty much has continued, and we haven’t seen -- we don’t expect that to move a lot appreciably. About $9 million to $10 million of that number is in our analytics business, which is primarily driven by out-of-network claims, most particularly in anesthesia and emergency department in ASC. That continues to move a little bit, and we’re hopeful that it will move. But it’s very fragmented across the country. In Florida, those numbers seem to be moving a little bit more in the right direction than they are, say, in California or Illinois or New York. So, we’ve kind of maintained the level of where we are. And in our payment integrity business, also to a great extent, that’s driven by those out-of-network claims in those unique specialties like, ED and anesthesia and ambulatory surgery centers. So, we’ve had a lot of debate internally, and we’ve decided that we’d rather kind of flat bind that COVID impact and explain it fully to you, so we can all have that discussion when we talk individually and talk with the analysts. But, we weren’t yet prepared to move our guidance numbers, based on that, especially in the last half.
Mark Tabak: If you look at the guidance, that $750 million to $790 million, factors in a COVID impact. If we’re being overly cautious and COVID abates more quickly, you can see there could be a meaningful increase in revenue and corresponding EBITDA, if we’re being overly cautious in the last half of the year.
Daniel Grosslight: Yes, understood. All right. I appreciate that. And I just wanted to get your thoughts on surprise billing legislation being implemented in 2022. I know you’ve previously mentioned that there’s a lot of moving pieces here. So, do you think this can actually be implemented at the beginning of 2022? And have you started to see any changes in provider behavior and preparation for the new regulations?
Mark Tabak: Dale, why don’t we -- why don’t you step back and just do a quick summary of the surprise billing legislation as it’s been passed and then an update on rule making process where it is as of today.
Dale White: Daniel, it’s a great question, because as hard it is to believe that we’re six months from it being implemented, it is a -- and as I think you saw from the headlines this week, there is still debate taking place at -- even at the legislative level on parts of the process. And we still don’t have -- we still don’t have interim final rules, but hopeful that -- we’re hopeful they’ll come soon, at least before July 1st. And I think the plan is to give -- to give the impact to stakeholders and opportunity to comment on those. Although I know CMS and HS is HS [ph] has been reaching out -- has reached out to folks along the way. Look, today, I think in a quick summary, I think everyone knows surprise bill protects consumers from receiving balance bills when they seek emergency care and other routine ancillary services related to emergency care, and -- or if it’s transported by an ambulance or when they receive ancillary nonemergency care. The statute has, I’ll say, critical inflection points along the way and the identification of surprise bill, calculation of, let’s call the qualified payment amount, which pretty for the most part is the insurance company’s median contracted rate. It’s the payments -- it’s then limiting that member’s co-share to what that member would have otherwise had to pay, had that provider been in in-network providers, but their liability by law is capped to that amount. There’s an opportunity for the plan at its discretion to make an offer to a provider. If that provider is unhappy with that payment, the law affords both the payor and the provider a 30-day window for payors and providers to negotiate. But at the same time, if negotiations fail, there’s a process for an independent dispute resolution. And that last piece is the piece that I think is under debate. Now, the arbitration, I think, as everyone knows, calls for baseball-style arbitration, which means the arbiter must choose either the amount sought by the provider or sought by the payor. And the debate going on now is that when the law was first passed, initially passed, Congress added several other factors for consideration in that arbitration process, including things like the training of the provider, the complexity of the case, the acuity of the case, to the extent there were prior contracted rates, things like that. And now, everyone is debating whether the QTA, which was originally, I think, intended to be the primary consideration arbitration, it’s being debated whether now each of those factors is -- should be of equal weight. I think, regardless of how the issue of bringing it at home and regardless of how this issue is ultimately resolved for -- is ultimately resolved for us, it gives us an opportunity to strategically partner with our customers. And as I mentioned, the legislation -- it introduces just a heck of a lot of complexity to the billing and payment process. And we are in deep dialogue with our customers to explore how they’ll achieve compliance at every inflection point in the surprise bill process, including the arbitration process by leveraging our strengths and our solutions.
Mark Tabak: I’d add three footnotes. One is that the rulemaking process has identified a lot of complexity in terms of how you administer the program. That complexity will result in increased reliance by our payor customers on MultiPlan, number one. Number two is that prior to arbitration, there is an independent dispute resolution component in negotiation. That’s what MultiPlan has historically done at a state and federal level, and we’ll continue to do that. And three, as a result of the complexity of arbitration, if in fact a negotiation cannot be consummated, again, the early indications is that much of that will be outsourced to our capability as well. So, we believe that it will have no material impact on our business and could be an enhancement over time, once the rulemaking process has been fully defined.
Dale White: Daniel, you asked us for a comment around about it starting -- it’s supposed to start January 1, 2022, do we think there will be a delay? It’s all speculation at this point. Clearly, there’s debate taking place. Clearly, the rule-making process has to come out with an appropriate comment period. Depending on the significance of those changes, I don’t think there’ll be a delay. I think there’ll be some relief given -- again, speculation, relief given to payers or -- and/or providers as the process moves forward throughout 2022, but I would doubt seriously there’s a delay in the implementation.
Operator: Your next question comes from the line of Andrew Kugler from Goldman Sachs. Please go ahead. Your line is now open.
Andrew Kugler: Hey guys, solid quarter and guidance. Thanks for taking my questions here. Just two in mind. Looking at your second quarter guidance, even assuming similar kind of COVID impact as 1Q and then sort of sequential impact of Discovery in 2Q versus 1Q, there’s still some upside that sequentially hit the midpoint and the high end of your guidance range. So, I’m just wondering if you’re seeing that there are any new initiatives that are actually supposed to kick in, starting in 2Q that may not have been reflected in 1Q and whether there should also be a run rate for the rest of the year?
Mark Tabak: Dave, do you want to speak to guidance?
David Redmond: Sure. I think what’s happening, Andrew, to some extent, is some initiatives that were a little bit slow with some of our customers, we have a little bit more visibility that they appear to be kicking in. As you look at kind of excluding HST and Discovery, we’re on what I’ll call base MultiPlan, we’re up about 2%, Q2 over Q1, as far as the midpoint of our guidance. And that is really customers moving a little faster in Q2 than they did in Q1. We hope that trend will continue, and we’re starting to see some of that growth. But the proof will be in the pudding. But we felt comfortable enough to move that number a little bit. If you take 2% or 1.5% quarter-over-quarter, that’s about 6% to 8% annually, and that’s what we have historically believed is our core non-COVID organic revenue growth.
Andrew Kugler: All right. Great. Thanks. And then, you also outlined some initiatives that are in the works but haven’t taken effect yet, and you haven’t assumed revenues from those yet. Is there any way to think about what the -- I guess, for initiatives that are sort of at the end but haven’t quite kicked in yet, is there any way to think about the total revenue impact of those initiatives? And whether that would be more impactful to fiscal year 2022 or if you’re going to start seeing some of the impact from those revenue initiatives in 2H this year? Thank you.
Mark Tabak: Well, I’ll let Dale talk a little bit about initiatives. I think that a lot of those initiatives will not have a material impact, as we said on our earnings call, in 2021, although we think there’ll be some in Q3 and Q4. As we look out into 2022, obviously, we hope and are optimistic those initiatives will have double-digit impact, but we really haven’t been able to quantify exactly. And we don’t really want to talk about ‘22 at this point, given we’re still dealing with a lot of COVID right now. But, we feel very good about those initiatives. And they should generate meaningful growth in 2022.
Dale White: Yes. I would just add, obviously, we’re in a unique position of being able to implement initiatives throughout the year with our customer base. And obviously, if you implement an initiative early in the year, you have the opportunity to have more impact. As you get further out in the year, all things being equal, that impact will be less in the current year and more in the subsequent year. So, as we -- I think I mentioned the large plan where we’re launching prepayment payment integrity later this year, the impact -- it will have some impact this year, but the lion’s share of the revenue impact will be going forward in 2022.
Mark Tabak: The footnote to that is the objective here is that we have a number of initiatives in-flight under contract, in the process of being implemented. The goal is to get them implemented in 2021 until we get a full 12-month run in 2022 and beyond, and then add enhancements to that, either through additional IT developments or other services that we can add on to those capabilities. The best case study to-date would be the -- would be in the payment and revenue integrity where we had a footprint in payment integrity. And with the addition of Discovery, we now can do revenue integrity as well as supplement that with subrogation too once we’re already in place.
Dale White: Yes. And as I mentioned, I think we -- operationally, throughout the year, across all of our solutions, whether that’s our network or analytics or payment integrity, we implement initiatives throughout the year to help us monetize more claims and drive additional savings and value to our customers. And as they come to fruition, whether that’s adding new analytical factors to our payment integrity program or modifying something in our analytics methodology, the good news is once those initiatives are implemented, our clients are able to take advantage of the enhancement almost right away, and we’re able to drive savings and value. And those continue to happen periodically throughout the year.
Mark Tabak: Heavily invested in machine learning, artificial intelligence to accelerate the development and application of those analytics to drive additional savings.
Operator: [Technical Difficulty] from Barclays. Please go ahead. Your line is now open.
Unidentified Analyst: Thanks for taking the question. Just you mentioned some cross-selling opportunities with HST, Discovery, that they’re going well and we’ve talked about a few deals that you’ve signed so far. Does your guidance include any other pipeline opportunities? And could you talk about the sizing of what’s in the pipe and timeline of moving that pipeline to revenue generation? Thanks.
Mark Tabak: Dale, do you want to talk in a little bit more granularity about the pipeline? And then, we can quantify that.
Dale White: Yes. The pipeline is a combination of a couple of things, right? It’s looking at -- it’s cross-selling HST’s and Discovery’s services into the market. And so, it’s taking advantage of the payor relationships that we have and using that to drive distribution and sales, identify opportunities and new opportunities across our existing customer base. I mentioned HST, through the opportunities for us to sell into the third-party administrator market and through brokers and consultants, and we already have seen the effect of that with -- in a very short time with 16 new employer groups and over 13,000 lives. That will, over time, right now, over the years, as those groups are implemented, we’ll expect to see them generate, I think, around about $2 million in new revenues annually, so. And thirdly, we’re bundling our products, right? We have a -- we’re now looking at -- we’re in the early stages, but we’re bundling our products and bundling our -- all of our products together and able to reach out to our customers in a much more strategic way.
Mark Tabak: The exciting thing for us in part is that instead of being simply a wholesaler of our services, we can now distribute services through the broker community and also direct retail to the end user and employer as well. So, there’s multiple distribution channels, which will again accelerate our growth expand revenue for the Company, and again lead in to robust margins and a high conversion to cash flow, which has historically been the nature of this company.
Unidentified Analyst: And then, just on M&A, despite a bit more recent volatility in the market, we’ve generally heard the market remained a bit frothy. As you survey the space, how do you think about the Extend and Expand portion of your strategy? And will targets largely be bolt-on, similar to HST or Discovery, or would the fairly large acquisitions still be in the cards for you? Thanks.
Mark Tabak: We’re very disciplined in terms of our M&A activity, and we’ll look at all opportunities and determine which ones would be accretive and how we could integrate them into MultiPlan’s infrastructure and take them to market as we deploy our capital to fuel supplemental growth through M&A.
Operator: [Technical Difficulty]
Unidentified Analyst: Just quick ones from me. Can you just give an update on customer concentration? I’m really just curious if there’s any material changes year-over-year. And I believe the last time we talked, you noted there was a transition, at least a portion of your customers from network-based services to analytics-based services. And I was wondering if that trend continued into the first half of 2021?
Mark Tabak: There’s been no material change from Q4 of 2020 to Q1 of 2021.
Unidentified Analyst: In either regard, as it relates to network-based services to analytics-based services and customer concentration?
Dale White: I think that the transition from network analytics has slowed. I think that kind of hit a peak over the last couple of years. A lot of that had to do with certain types of claims. ED was one of those types of claims. I think, basically, that has leveled off some, as we look at our complementary group network business. And as Mark said, our top customer percentage has not really changed over an extended period of time.
Unidentified Analyst: Okay. And staying with the analytics-based services. Have you seen more payors change the utilization of your offerings within their, say, moving towards markup or markdown, reference-based pricing versus using charge-based or cost-based?
Mark Tabak: I haven’t seen any material changes in behavior. Have you?
Dale White: You broke up on me. Say that again.
Unidentified Analyst: Yes. Within analytics-based services, have you seen payers change the solutions they leverage of yours, say, for example, moving towards markup or markdown from, say, charge-based and cost-based, reference-based pricing services?
Dale White: I think, the focus -- I agree with Mark. We haven’t really seen a significant change over the past, from last year to this year in the payors’ focus on managing their costs and using cost-based methodologies, which they typically do, right? They’re using either a cost base -- in some cases, they’ll use charge-based methodologies, depending on the preference of the plan. But I haven’t really seen a material change. Now, when you get to surprise billing and arbitration, it’s going to be -- part of the arbitration process is the arbiter can’t consider the provider’s bill charge or the usual and customary charge. And at the same time, they can’t consider rates paid by Medicare, Medicaid or any other government program. So, it narrows that window of what the arbiter can use to rule during that arbitration process. They’re trying to balance it out.
Unidentified Analyst: Okay, useful. Thank you. And last question for me as it relates to payment and revenue integrity services. Was the majority of the growth that you saw there just due to the Discovery acquisition? And then, as it relates to the acquisition, just curious how your client reception has been to the revenue offerings that Discovery brings to the division?
Dale White: Yes. I can answer that. The growth has -- it was -- it’s not entirely through Discovery’s programs. It’s a combination of what we call the MultiPlan historical payment integrity opportunities. And in fact, one of the opportunities I mentioned in my remarks was focused on the prepayment payment integrity algorithms that MultiPlan’s program is based on. And so, that was entirely MultiPlan. Relative to Discovery, the reception has been great, and it’s been terrific. We’re very excited about the addition of Discovery’s services, particularly premium restoration and premium restoration for Medicare Advantage and ESRD. That is an opportunity. Most of what we do is to help clients manage their claims expense. In this case, this is an opportunity for Medicare Advantage plans to identify instances where the payment to them is incorrect, and to correct it and change their revenue that they receive from CMS in instances where the payment to them was incorrect. And so, that’s a revenue opportunity for the plan. And we’re very excited, and the reception by our clients has been very favorable. And obviously, we’re just getting started in terms of we owned it as of late February. But, we’re very excited about the expansion of our suite, the introduction of the customers, the wins that Discovery already has and the pipeline we’re building.
David Redmond: To answer your question based on page 7 of the slides, where our revenue is basically $28.3 million in Q1, $27.1 million in Q4 and $26.8 million in Q1 last year. That increase is principally Discovery.
Mark Tabak: Yes. Look, you can see very clearly that we operationalize our three-part growth strategy. You see by virtue of we’ve enhanced our existing product offerings; we’ve extended those product offerings into adjacent markets, such as Medicare Advantage is a classic case study; and we’re working very aggressively to identify service opportunities to be able to provide services to the other constituents we serve, the provider community and the patient community, consistent with our Enhance, Extend and Expand strategy we articulated previously.
End of Q&A:
Operator: [Technical Difficulty] today’s conference call. Thank you for participating.